Jennifer Karkula: Call starts abruptly [Operator Instructions] I will now turn the call over to Andrew.
Andrew Kiguel: Thanks, Jennifer. Welcome, everyone, to the Q1 Call. I'll do a quick walk through the Q1 press release. And as we sort of just feel like we just did a whole bunch of questions recently for the 2024 audited statements, we're going to try and limit the Q&A today to keep this to about half an hour. And of course, people can always message us with additional questions. And then after sort of this quick review and before the questions, I'm going to do sort of a quick screen share and just talk a little bit about some of the goals and what we're trying to do for this year. So Q1, a big increase in revenue. That's largely because of sort of the pivot, the expansion into the AI and robotics versus what we were doing at the same time last year. The net income that we had was as a result of the positive increase in the cryptocurrencies that we held. The way the accounting is done for that is that it flows through to the bottom line. We also implemented a normal course issuer bid. That is -- we haven't seen a reason to use it as of yet, but it is in place and it gives us the option to buy shares. When we actually implemented that, the share price was trading at around CAD0.10, US$0.07. And so we've certainly appreciated a lot since then. We'll use it accordingly if we think that the share price needs to be supported. Other key things, I think, is just what's already been announced, the partnership with Compass, the subsidy from Amazon, I guess, big news with CES earlier this year was the first time that we showed our products. It's the first conference we attended. It won't be the last this year, but we received a significant amount of media attention there. We're told over 4 billion media hits and over 1,000 articles and several viral videos across TikTok and YouTube and various articles and things, Forbes, CBS, CNET, Barstool Sports, lots of media coverage, I think was great because it validated that we're doing something very different. The thing I would say about CES is we were located right in the robotics section, and despite that, these larger robot companies all around us, we really outshone everybody and got more than our fair share of the media attention during that. Other news that we've recently announced that we are able to integrate third-party AI into our robotic hardware. We rolled out a time line that includes OpenAI, ChatGPT, Meta's Llama, Google's Gemini and even the DeepSeek. I think why that's important is we want our robots to have a versatility beyond just running our AI. We see ourselves as a hardware company and a software company, but we want our hardware to be available to various use cases, and we can integrate actually other AIs. And so we're having conversations with a few large entities and groups that have built their own LLMs and AIs that they want to integrate into our hardware. And of course, we welcome that. The other piece that we released today was related to the vision system. I think that's also something significant and unique and that our robots will be able to integrate in what they're seeing to what the generative AI is doing. That means it might be able to recognize something like a fire or other various situations and be able to respond in real time to what it is seeing. We think that's super unique and something as well that we can integrate in with other third-party AIs. So Q1 2025 is the first quarter since we rebranded. I think for this year, our focus is on building the business, showcasing our robots and AI, establishing partnerships and having meaningful acceleration of sales. A key thing, and we get asked this a lot, and maybe I'll share my screen here. I want to talk about sort of the pathway. I'm not going to go through a long explanation. But when I think about 2025 and the management and the Board think about 2025, it's really about continuing to establish ourselves as a key player in the space. And that's not necessarily just about rolling out as many robots as we can and going -- doing it that way. What we really want to do is, I think by the end of this year, probably sooner, we'll have 8 to 10 robots that will be available for on-site activations with targeted partners and vendors. So what that means is we'll be using these robots to showcase them around the country. I think that helps us to develop a brand, it helps us to develop a reputation where people recognize our robots. I think they have a certain look and feel, and we'll be able to continue to establish that not just at various conventions, but you might see them we might loan them out to a retail store. We're also in the process of hiring a new Head of Business Development, Revenue and Customer Care. I think post CES, we got an influx of inquiries from people and orders for various products. And what we realized is that we really need to start focusing more attention on that. So as we're growing, we're going to need to hire more people. We also want to establish relationships with high-end vendors. So we've been approached by various groups. An interesting area that we're looking at is creating affiliates at different parts of the world. So we've been contacted by groups in Scandinavia, Australia, Japan, who are all really looking to be resellers of our products in their local markets. And that's a great way for us to expand sales into other areas without having to sort of establish an entire sales network. And so that's something we're considering highly in conversations with various people. And then, of course, we're going to be attending more conferences. We continue to sort of look at various things, and we're looking to do some conferences maybe in the Middle East and Europe as well as various conferences in the United States and Canada. With respect to manufacturing, we have our 3 main models. Those are listed on the realbotix.com website. And our plan is to, number one, continue to upgrade those models. We're going to have a new brochure coming out in the next few weeks that sort of outlines the specific details for clients that we're able to provide more information as to what you're getting, what are the degrees of freedom in the hands and the faces and other various aspects of our robots. Our rollout is -- I guess, our pathway to sort of assembly is we want by the end of next year to be able to assemble 250-plus robots and make our way up to sort of 2,500 or more by 2028. We think those are pretty conservative figures. The way we plan to do that is by a few different things. And so right now, what we're doing is we are trying to establish relationships with OEMs to assemble the non-proprietary steel and machine components. So that's basically everything from the neck down, we feel is non-proprietary. And we can have that either cut in sort of steel parts manufactured elsewhere and assembled for us or shipped to us and be ready to assemble. That allows us to really scale up quickly without having to establish a new warehouse or hire hundreds of people to do that. We're really going to leverage what other people are doing. And we think that removes a lot of trial and error from us having to do that portion of ourselves, at least in the near-term. Where the magic really happens on the products is in the, what I would say, above the shoulders. And that's where the proprietary work happens. And we feel we have the facilities in place right now to be able to do several hundred or thousands of robotic heads. And, of course, then we have the AI, which can really be set up anywhere, and we have a team that's continuing to sort of work on those AIs, again, integrating the key things we're doing, integrating in so that the speech system aligns with the lip sync, so it looks realistic. So the vision system can make eye contact, can recognize people and situations and objects. And that's all stuff that we can do with the existing facilities over the course of the next 24 months. The other pieces that we'll talk about, again, we talked about research and development. So some of the things that we're looking to do, so vision integration system across the robotic platforms with announcements today by August, integration of the third-party AI. So we've already started doing that and rolling it out. So it'll all be done by mid-year, a new sort of various companionship models that will be upgraded and out by August. And then we're going to start taking some time to make the hands more able to conduct physical tasks. And part of that includes also putting sensors into the hands. So we want the robots to be able to touch something and be able to see like is that hot? Is it cold? Does that -- would that hurt? And we think, again, that's a feature that would add usability and versatility for the robots. And last, we're always going to look to continue to expand our AI and engineering teams. That means as we continue to integrate and build, we're going to need more people that will add to our team slowly. Right now, we're still a relatively small team and a small company overall. But as things progress, we'll continue to add key individuals to grow with us. And then on the capital market side, always an important part, not where we spend all day, but we're starting to evaluate the requirements and qualifications for a NASDAQ listing. We believe that we would garner a larger valuation and more liquidity on an exchange like that, it's easier for people to buy the stock. And then we're also evaluating bringing in on an internal IR person. So that's that part of the presentation. Maybe with that, Jennifer, we can open it up to questions. We're changing it up a little bit this time just because I think last time we had some comments that we should try and allow more people to ask questions. So maybe we'll open it up and take some questions here from people. You can just type them in.
A - Jennifer Karkula: Yes, go ahead. If you have a question, just -- you can submit it into the Q&A box at the bottom of your screen located next to the screen share.
Andrew Kiguel: So, I don't know if that's working or not. I don't see any questions, but maybe there's no questions. We did go through a lot of stuff a couple of weeks ago. So -- I do see a question. So the question was from Kevin. Thank you. Can we add color on order rates now that has changed from CES? What I would say is that we have received orders. I don't want to disclose just yet what the numbers look like post CES because it's still -- we're 4 weeks off CES. But what I would say is that the interest level is very high. The order process for a robot, it's not like a click and go to the checkout and pay. There's a high degree of customization. And what we're seeing is that a lot of people who are purchasing the products have a degree -- a large degree of questions, like how does it get operated. And actually, it's great for us because it's driving how we formulate our sales process going forward. So right now, the sales process, Kevin, is you go to the website, you fill out a form, we send you an intake form where you answer, it's about, I think, 15 questions. And then from that, we reply back with a quotation and then there's some sort of consultation before we sort of take the order. We're getting interesting order cases. We had one order that came in, in sort of the health care space for someone on the spectrum. We've seen all kinds of various things, but we think it's moving well, and there's a lot of stuff in the queue. Time line for the NASDAQ, I'm not going to speculate on that. There's a lot of things that go into deciding how to list. So there's additional cost, there's additional regulatory, like would it require a share roll-up, various things like that. So I don't want to provide a time line, but what I would say is that it's a -- it's definitely on the radar for management. We're having various conversations would be it with investment banks or people that have vehicles. If we did something, we would have to feel accretive to shareholders, meaning that the cost to do so would be repaid back in the form of additional liquidity and more buying interest. Are the slides public now? These slides you're looking at, yes, are public. They're on the website. Keep going here. Someone is asking, if we have assembly partnerships that we alluded to and how many factors will we read before making decision? We're in the process of having the conversations, Kevin. We haven't selected anyone yet, and we don't necessarily need to today. Like again, to be fair, when I look at 2025, it's not going to be the year where we're going to come out and say that we sold 5,000 robots. We are in the process right now of getting our drawings together. So basically, what are the exact specifications for each robot. And one of the things that we found is, every time we manufacture some robots, we find various improvements to cost and functionality. And so we're finalizing that, and that's with these robots that are being built now for some early deliveries and for sort of internal uses. But we're having conversations with OEMs. And I would suspect that, that is something we would look to announce probably towards the latter half of this year as opposed to the beginning. Somebody asked if we met Elon? We have not met Elon. I would suspect that post-CES, we have to be on their radar, but we haven't had anybody reach out from Tesla or Optimus, although I think that would be really cool to get Aria and Optimus in the room. Are there any upcoming partnerships with major tech companies or Wacoms [ph] could accelerate? There's nothing that we can announce right now, but we continue to have conversations. We're having conversations with a large degree of companies, be software, hardware. We're not in conversations with any robotic companies that I would view as having other humanoid robots, but we're in conversations with companies that have components. So I've had some conversations, for example, with a company that has a robotic hand that might be able to get adapted. We're talking to people that have like various components, having a lot of conversations with various AI companies. One of the things that we sort of envision for when you're ordering our robots here over the next few weeks is that you'll be able to select which AI. So you'll design the specifications for your robot and then there'll be a checklist. And it will say, okay, which AIs would you like included? So number one will be the Realbotix, companion AI, then you'll be able to select ChatGPT or Llama or Gemini. And then there's some other AIs that we are evaluating and you'll have the option to select to include those or not into your robot. And we think that's going to be a very cool feature where, a, if you have your own proprietary AI, you'll be able to integrate it in. So we're having conversations with a few people that have already built an AI, and they've really just been waiting for -- a way to integrate it into hardware. So you provide that. But also for the users, you'll be able to decide like, hey, this is what I want to use it for. Maybe it's as a receptionist or as a concierge or just a source of information, and we'll be able to help you choose the AI that fits in best with that. Somebody said 8 to 10 robots targeted for this year will not be for sale. So no, we will continue to have robots for sale, Kevin. The idea is that we want to have an inventory for ourselves of 8 to 10 robots that we can use to demonstrate. And so we're going to continue to make sales on our various products. But the idea is we're getting a lot of demand. For example, there is like a new high-end retail store opening happening in New York. And they've asked, "Hey, can we rent the robot from you or have the robot here, we'll help promote the company and can we put it in the window for a few months to show it off?" And so to do things like that, we want to be able to have several robots on hand that we can travel around with in order to continue to build our reputation and our brand. But of course, on top of that, we plan to be making more robots and selling them. Someone asked if we're looking to acquire lower assembly in terms of robots moving or are we developing that ourselves? I'm not sure I understand the question, but I'll try and answer it. So what we are trying to do is, we have a pretty good team that comes from the animatronics and various areas. And we believe that we can do most of all the things that we want to develop in-house. What we outsource, and I can pull up a slide actually here, and I can -- that I can show to answer that question. So what you can see here is what we use, the platforms that we outsource. So obviously, we don't make our own cables and wires [ph], but the main things that we use. So we use the NVIDIA Jetson Orin platform, which is part of developing our robotic vision system. We use AWS for cloud computing, DYNAMIXEL for the micromotors and actuators, Microsoft Azure for the voices and then legal controls for the hardware required for the body animation. And so those would be our 5 biggest external suppliers. But everything else, we feel we have the capability to develop in-house. And part of it is because we're doing something that's so different from what anybody else is doing, and we feel we have good experience. We've been doing this already for a few years. We feel good on that. Somebody asked if we are thoughts on collaborating with Metalabs since we're now in the humanoid robotics space? It's an interesting question. Apple announced interest in the space as well. So there's a few things to take away from that. Number one, we're obviously entering a space here where the largest companies in the world are recognized that this is a huge marketplace. And so the issue is how are we going to compete? What are we going to do? So would we collaborate with these companies? Yes, absolutely. We're open to that. We're not in any conversations with Meta or Apple on robotics. But certainly, that's something that could come about. But if you go back to the early days of the computer, everybody thought Hewlett Packard and IBM would rule the day and companies like Microsoft and Apple were all start-ups. And so I do believe that some of the key innovation, some of the more interesting things are going to continue to come out of some of the newer companies like ours. I believe what we're doing is different than everybody else's. And by the media attention that we've got at CES, we were there surrounded by robot companies. Nobody got 1/4 of the attention we got there. And so that sort of validates to me that we're doing something different and we're in the right direction. Sorry, give me a second. I'm just reading through the questions. Somebody asked, do we have customers with which start with 1 robot to give it a try, but you know that if they're happy, they will buy a lot more robots. The answer is yes. So if I look at the sales, we started selling more individual robotic models. But in the past, models that we have sold have generally been sold with more than one. We did announced late last year that we had a deal with the theme park, and that was for several robots and then before that for some promotional service, and that was 2 robots. And so when I look at the sales, it's really all over. A lot of the inquiries we're looking at now are, one, we are having -- trying to have conversations with some larger entities where we would, I would say, beta test one robot out in the field, and this is where this inventory comes in. And if they perform well, they could be the type of clients that could order 10 to 20 at a time, maybe even more. Someone asked what the key international markets are for us and new regions we're planning to enter? So I don't want to accelerate too much. And let's put it in perspective. We're still a very early-stage company. I think we're extremely undervalued. And we have a massive -- look, the United States is the largest consumer market in the world. Like this -- the market where everybody in the world wants to be and sell to is the United States, and that's where we are. And so I think let's go for the low-hanging fruit. Now that said, we've been contacted, like I said, by potential resellers of the product or retailers for our product in Australia, Scandinavia and Japan and Europe. And if we can create some type of an affiliate program there where there is almost like a commission or something paid for sales that they make, then, of course, we'd be happy to ship the robots there. But I don't plan to invest money into setting up storefronts outside the United States at the current time. Somebody says we really need to get influencers to come and meet Aria and Melody like streamers. Well, I think we did a good job of that at CES. We're constantly talking to people. We filmed -- I don't know if it will air. They did a -- Good Morning Britain did a recording last week that's supposed to air at some point. We're having conversations with various U.S. talk shows and personalities that want to get the robots on. But we got 4 billion media hits in the month of January. And so we're doing our best. I think we did really great in terms of getting Aria and Melody publicity all over the world. I mean most people that I know couldn't open the Internet for during CES and not have one of our robots pop up. But we hear you, we're doing our best. Obviously, we want to get more, and we'll continue to sort of see that. But we are -- we do have our internal media, and we're always trying to do that. Someone asked if we see a world where our products are collaborating during large-format events like Coachella or somewhere where Realbotix products are engaging with artists and celebs and leveraging AI? Yes, absolutely. We talk about that all the time. We've talked about sort of even trying to launch music through one of our robots like AI-generated music and having Aria perform it. We have had conversations. So when you think -- talk about things like Coachella, there's usually third-party groups that organize concert venues for them and set everything up, and we are in conversations with groups like that. So we'll continue to do that. Maybe I'll just take one more question here as we're rounding out. Any plans for shareholders expect to meet Aria and Melody? So I think what we would do is, there was literally thousands of people that met Aria and Melody during CES. We will for sure be back there next year. We are having conversations with various conferences. We've committed to a couple. We'll press release which conferences we're attending. But really, when we attend a conference, there's a large degree of management time and resource that's taken up. While we're there, it's time that we're not developing new things, building robots or other things that are required to run the company. So I think you'll see us attend another 5 to 7 conferences this year. I think probably 2 or 3 of those will be outside the United States. And we're excited for those. After the response that we got from CES, we think that there's obviously a very good strong ROI with respect to attending these conferences. So maybe with that, I thank you, everyone. I appreciate everyone taking their time to listen. The new deck is on the website. People can obviously message me with questions through the contact at Realbotix. And yes, we hope to have some more interesting press releases on our developments and sales, and we'll speak again in about 3 months. So thanks, everyone.